Operator: Good afternoon. My name is Kyle, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Manhattan Associates First Quarter 2013 Earnings Conference Call. [Operator Instructions] Mr. Story, you may begin your conference.
Dennis B. Story: Thank you, Kyle, and good afternoon, everyone. Welcome to Manhattan Associates' 2013 First Quarter Earnings Call. I'll review our cautionary language and then turn the call over to Eddie Capel, our CEO. During this call, including the question-and-answer session, we may make forward-looking statements regarding future events or future financial performance of Manhattan Associates. You are cautioned that these forward-looking statements involve risks and uncertainties, are not guarantees of future performance, and that actual results may differ materially from projections contained in our forward-looking statements. I refer you to the reports Manhattan Associates files with the SEC for important factors that could cause actual results to differ materially from those in our projections, particularly our annual report on Form 10-K for the fiscal 2012 and the risk factor discussion in that report. We are under no obligation to update these statements. In addition, our comments include certain non-GAAP financial measures in an effort to provide additional information to investors. All non-GAAP measures have been reconciled to the related GAAP measures in accordance with SEC rules, and you can find the reconciliation schedules in the Form 8-K we submitted to the SEC today and on our website at manh.com. Now I'll turn the call over to Eddie.
Eddie Capel: Well, good afternoon, everyone. Our first quarter performance was solid in the Americas and in our international theaters. We posted strong results across essentially all financial metrics in the first quarter. Our competitive position continues to improve, and our customer satisfaction continues to increase across the globe. Q1 total revenue of $96.6 million increased 6%, and adjusted earnings per share of $0.74 increased 23% over Q1 2012. Overall, we executed very well in the quarter, and I'm pleased with the financial performance. However, as we discussed in our last call, we are continuing to see some buying hesitation based upon the broader global macro uncertainty. License revenue for the quarter was $14.2 million, down against a tough comp of $15.6 million in Q1 2012. We recognized 3 $1 million deals in the quarter, 1 with a new customer and 2 with existing customers. All 3 of these deals were sold in the Americas, led by our Warehouse Management product and spanned 3 separate verticals: retail, third-party logistics and industrial. Mid-sized deal activity was solid, and we were particularly pleased with our Order Lifecycle Management license performance in the quarter. All in all, we had a very solid quarter. Our competitive win rate remained strong. In head-to-head sales cycle against our major competitors, we won 75% of the time. We also were successful at driving improvements in customer satisfaction and continue to be the leading innovator in our space, delivering exciting new solutions from research and development investments. And I'll comment on these following Dennis' full financial review. On the topic of executive management, I want to thank Jeff Mitchell, our EVP of Americas sales for his tremendous contributions to Manhattan Associates over the past 16 years. For almost a year now, Jeff and I have been discussing his desire to move into a different career. And at the end of the month, Jeff is leaving Manhattan to become CEO of an early-stage technology company focused on reinventing the way petty crimes, theft and shoplifting are handled in the retail industry. For quite some time, we have been preparing Bob Powell to succeed Jeff as head of Americas sales. Bob's been with Manhattan since 2006 and in supply chain software sales for more than 13 years. Earlier this year, Bob was promoted to Senior Vice President, Americas sales, reporting to Jeff. And effective May 1, he assumes Jeff's leadership position and will report directly to me. Jeff has been instrumental in developing a world-class Americas sales organization, solidifying Manhattan's position in the market and driving growth. So Bob now takes over a very strong Americas sales team, and I'm thrilled to have somebody with Bob's experience and success leading our Americas sales team. I want to again thank Jeff for all he has done at Manhattan and wish him well in the future. As we look forward, I believe we are very well positioned for 2013 and beyond. We're not really expecting the global economy to improve in 2013, as global activity continues to be hobbled by protracted low growth. And while we're not immune, we are optimistic but cautious about our financial outlook for the year ahead. Our services business is strong, customer satisfaction is good, implementations of our solutions continue to go well, and we're excited about the next releases of our software solutions. Overall, we're performing very well, and I'll provide more color in my business update following Dennis's review of our financial results.
Dennis B. Story: Okay. Thanks, Eddie. I'm going to cover our Q1 2013 non-GAAP results and GAAP EPS performance and then review our updated 2013 full year guidance. As Eddie noted, a solid start to 2013, posting $96.6 million in total revenue, the highest quarterly result in our company's history, besting our previous record of $95.8 million we posted in Q3 2012. Total revenue increased 6% over Q1 2012, with services leading the way. Recall that our services revenue in Q1 2012 included a $2 million benefit from the recognition of a previously deferred services revenue contract. Apples to apples versus Q1 2012, total revenue growth was 8% and services revenue growth was 10%. For the quarter, Americas grew total revenue 9% while EMEA and APAC declined 8% and 9%, respectively, compared to Q1 last year. Adjusted earnings per share for the quarter was $0.74, increasing 23% over prior year, fueled by revenue and operating profit growth and lower income tax rate and our buyback program. License revenue for the quarter totaled $14.2 million, coming in at about our expectation. As Eddie mentioned, we closed 3 $1-plus million deals. From a regional perspective, Americas posted license revenue of $11.5 million; EMEA, $1.3 million against a tough comp; and APAC, $1.4 million. Our license performance continues to depend heavily on the number and relative value of large deals we close in a given quarter. And as Eddie mentioned, our win rates continue to be strong. Shifting to services, demand continues to be solid. Q1 services revenue totaled $74.9 million, increasing 6% year-over-year. As you may recall, our services revenue is comprised of 2 revenue streams, consulting and maintenance. Our consulting revenue for the quarter totaled $49.2 million, growing 5% over Q1 last year. And apples to apples, consulting revenue grew 10% adjusting for the $2 million of previously deferred consulting revenue recognized in Q1 of last year. Maintenance revenue for the quarter totaled $25.7 million, increasing 8% over last year. Solid license revenue growth over the last several quarters, cash collections and retention rates of 90-plus percent contributed to year-over-year growth. As a reminder, we recognize maintenance renewal revenue on a cash basis, so the timing of cash collections can cause some inter-period lumpiness from quarter-to-quarter. Consolidated services margins for the quarter were 53.5%, in line with our expectations and comparable with Q4 2012's 53.4% and Q1 2012's 54.8%. Excluding the impact of the $2 million in deferred services revenue from Q1 of 2012, which essentially had no incremental carrying cost, our prior year Q1 2012 underlying services margin was 53.4%. We expect our first half 2013 services margin will likely be in the range of 53.5% to 53.8% and our full year 2013 services margins to normalize into the 53.75% to 54.25% range, as we have achieved a better demand capacity alignment over the past several quarters. Now turning to operating income and margins. With solid revenue growth and expense management, we delivered record Q1 adjusted operating income of $21.6 million with an operating margin of 22.3%. That's up 90 basis points from Q1 2012. For the full year, we continue to target a 50 basis point expansion in 2013 operating margin. We expect Q2 through Q4 operating margins to range between 24% and 25%, adjusted for quarterly license and services revenue mix due to seasonality. Below-the-line in other income, which includes net interest income, net gains or losses on asset disposals and the net impact of realized and unrealized foreign exchange gains or losses, totaled $151,000 of income in the quarter, including FX losses of $179,000. Regarding taxes, our adjusted effective income tax rate for Q1 was 32.8%, resulting in a $0.03 positive EPS impact in the quarter, driven by Congress' January 2013 approval of the 2012 R&D tax credit. We are now projecting a full year effective tax rate of 35.3%, which assumes a Q2 through Q4 effective rate of 36%. Transitioning to diluted shares. For the quarter, the diluted shares totaled 19.7 million shares, down from Q4 2012 shares of 19.9 million. We repurchased 226,000 shares of Manhattan stock in the quarter totaling $15.9 million against option exercises of 131,000 shares. For the balance of 2013, we estimate Q2 through Q4 2013 diluted shares to be 19.7 million shares and the full year weighted average diluted shares to be 19.8 million. Our estimate does not assume additional common stock repurchases and depends on a number of variables, including stock price, option exercises, forfeitures and share repurchases, which can significantly impact estimates. Lastly, on shares, last week, our board approved raising our share repurchase authority limit to a total of $50 million, 5-0. That covers the adjusted results. Our Q1 2013 GAAP diluted earnings per share was a record $0.68, increasing 24% over $0.55 we posted in Q1 2012. Our GAAP performance was driven by the strength of adjusted operating results. A detailed reconciliation of GAAP to non-GAAP adjustments is included in our earnings release today. That covers the P&L results. Turning to cash flow. For the quarter, cash flow from operations was $20.1 million, that's 2-0-point-1 million dollars, up from $13.1 million generated in Q1 2012. DSOs improved to 56 days versus 60 days in Q4 2012. Capital expenditures were $600,000 in the quarter, and we estimate full year 2013 CapEx to be about $6 million to $8 million. Our balance sheet continues to support long-term strategic flexibility and stability with 0 debt and cash and investments totaling $108,500,000 at March 31, 2013. That's 1-0-8-point-5 million compared to $103 million at the end of Q4 2012. Strong cash flow from operations in the quarter, less our share buyback program, drove the net increase over December 2012. Now I'll update our 2013 guidance and then hand off to Eddie for the business update. So overall, while we remain cautious given the global macro, we are maintaining our existing revenue guidance and are increasing our EPS guidance to include the impact of the favorable Q1 results. So for 2013 revenue, guidance for the full year total revenue remains at $410 million to $415 million, representing 9% to 10% growth over 2012. We expect our full year total revenue percentage split to be about 48% to 52% -- 48% in the first half, 52% in the second half. We expect a more typical seasonal pattern with Q3 license revenue, due to summer holidays being lower than Q2 and Q4 license revenue and services revenue lower in Q4 due to seasonal holidays. For 2013 adjusted diluted earnings per share, we are raising our range $0.06 to $3.21 to $3.27, representing 14% to 16% growth over 2012 adjusted EPS of $2.82. We continue to expect full year EPS to have about the same percentage split of 48% in the first half and 52% in the second half. For 2013 GAAP diluted earnings per share, we expect to deliver $2.91 to $2.97, again representing 14% to 16% growth over 2012 GAAP EPS of $2.56. The $0.30 full year EPS difference between GAAP and non-GAAP adjusted EPS represents the impact of stock-based compensation. We expect the EPS impact to be about $0.075 per quarter. Regarding adjusted operating margins, we continue to focus on a year-over-year adjusted operating margin expansion and are maintaining our 50 basis point improvement over 2012. We expect Q2 through Q4 operating margins to range between 24% and 25%, adjusted for quarterly license and services revenue mix due to seasonality. That covers our updated 2013 guidance. Now I'll turn the call back to Eddie for the business update.
Eddie Capel: Thanks, Dennis. First, let me provide a little more detail on the deals we closed in Q1. As I discussed on the front end of the call, we recognized 3 large deals in the quarter, 1 with a new customer in the industrial vertical that needed to augment their ERP strategy with a sophisticated supply chain solution and 2 deals with existing customers. One is a large 3PL that expanded their relationship with us principally to satisfy the growing demand that they're seeing in the e-commerce space. And the other was a fast-growing high-fashion brand that needed to address their multichannel needs with both WMS and Order Lifecycle Management. About 35% of our Q1 license revenue was generated from new customers and about 65% from existing customer partnerships. And we're quite pleased we are able to capture 35% of our license fees from new customers, which is higher than most participants in the application software space and an important validation of our platform-based strategy on organic investment in innovation. For Q1, about 65% of license fees were associated with Warehouse Management Systems and 35% representing our other solutions. As is customary for us, the retail, consumer goods and logistics service provider verticals were our strongest license fee contributors and made up more than half of our license revenue for Q1. We continue to see strength in the retail vertical. As I mentioned in our last call, we're in the early stages of what we're terming a retail revolution, fueled by digital commerce and the way in which consumers engage with retailers has really changed the game. Consumers have been empowered with tremendous access to information on hand at any time via smartphones and tablets. And the cost for their loyalty is the retailer's ability to offer flexible shopping choices and timely service. For retailers to do this, they need a wealth of capabilities few previously have had. And leading companies see our solutions, such as Order Lifecycle Management, which is key to the omni-channel selling infrastructures of the future, as critical element in enabling seamless customer experience and increasing revenue. We're helping companies put their customers at the center of the enterprise. And our efforts are bearing fruit in our win rate and loyal customer base. The push retailers are making to integrate stores into their fulfillment network, use the web more than ever and bring these experiences to the customers on their mobile device plays well in both our -- into both our heritage and our future. Manhattan has the world's leading solutions for managing and optimizing inventory, ensuring products are there at the right place or at the right time and to enable the fulfillment of customer demand. And to this end, we're seeing our customers and prospects seek solutions to expand their execution capabilities from traditional distribution centers across the supply chain and, ultimately, into their stores. And we'll continue to invest in innovation across our solutions in order to provide the best tools available to support the businesses in the modern age of commerce. A meaningful portion of our first quarter non-WMS license activity was driven by our Order Lifecycle Management and Store Commerce Activation. We're pleased with the successes that we've achieved over the past year or so, thus validating our strategy. Now on the customer front, we've had a successful quarter adding new clients and expanding our relationship with existing clients. Software license wins with new customers permitting us to share their names included eStore Logistics, Innnes, P T Chandra Supermarkets, Redmart, Target Australia and Zhejiang Yongsheng Pharmaceutical Logistics. Expanding partnerships with existing customers included AcuSport, Assuramed, Benjamin Moore & Co., Cabela's, Carolina Logistics Services, Cotton On Group Services, Devanlay, DOME Corporation, El Corte Ingles, Hayneedle, Ingram Industries, Innotrac Corporation, Michael Kors, Niagara Bottling, Ozburn-Hessey Logistics, Primark Stores, Raley's, Republic National Distributing Company, Retail Brand Alliance, Richline Group, Speed Transportation, The Container Store, The Hillman Group and Wolverine Worldwide. Our professional services business around the world performed very well in Q1 and continued to receive high marks for customer satisfaction. Whilst the global economy remains difficult to forecast and could impact our license revenue from quarter-to-quarter, our services business is more predictable, and our outlook across all 3 regions remains solid. A key achievement in our growth is successful implementations of our platform solutions. We now have 31 clients live at 70 sites utilizing our platform-based WMS. In addition, we have about 30 additional customers implementing our platform WMS at about 80 additional sites. Including all our solutions, for the quarter, we had about 80 customer sites go live with our software. We continue to be the leading innovator in supply chain technology and, for the quarter, we invested $11.5 million or about 13% of revenue in research and development with about 650 people dedicated to R&D. And at the core of our success is our strategy to grow through investment and innovation. Developing a supply chain process platform-based suite of solution distinguishes us from all of our other competitors. Our R&D team continues to do an excellent job of driving innovation in all product areas, and we continue to deliver more robust and more efficient solutions to the markets we serve. Solution releases in Q1 have seen us combine our order management and store fulfillment offerings to enable retailers to further leverage store inventory and labor in order to satisfy customer demand across any and all channels. Likewise, reshoring continues to prove its value to companies across all industries, and we've created new workflows across distribution, transportation and yard management that help manufacturers reduce order of cycle times while improving inventory turns. Now regarding our associates. We ended the quarter just above 2,400 employees around the globe, up slightly over Q4 2012 and 200 more, or a 9% increase, over Q1 2012. Essentially all of the headcount growth over the past year is in our professional services group on strong demand to support top line growth. We finished the quarter with 67 people in sales and sales management, with 58 of those quota-carrying sales reps. That's up 2 reps from Q4 and 5 from Q1 2012. And we're looking to add about 8 additional sales professionals during the balance of 2013, with the majority of those in the Americas. Next month, we'll host our annual user conference, Momentum 2013, at Caesars Palace in Las Vegas. The conference theme is Supply Chain Commerce: Where Supply Chain and the Market Meet. And the content there is all about the benefits of utilizing our suite of solutions on a common supply chain process platform. We'll be showcasing numerous ways customers can leverage Manhattan's platform suite of solutions to maximize revenue while lowering ownership costs and extending market advantage. And much of the material that will be presented is by our customers themselves. And registrations are up nicely compared with last year. We're looking forward to sharing time and a little fun with our global customers. So let me close our prepared remarks with a brief summary. For the balance of 2013, we're optimistic and a little bit cautious at the same time, given the global economy and broader macro forces in play. As we discussed in our Q4 goal, we're in the midst of a global, multiyear recovery cycle that's driving some headwind for the license close cycles in our target markets, so we feel it only prudent to remain somewhat cautious. Now there's plenty of room for improvement across Manhattan Associates, and we're focused on making those improvements every single day. Nonetheless, I'm quite pleased with our performance in Q1 and our market position. We have the world's most talented supply chain employees, the best software solutions and solid market momentum. We intend to leverage these advantages in the future to continue to delight our customers, create attractive career paths for our team members and provide substantial rewards for our shareholders. So Kyle, we'd be happy to take any questions now.
Operator: [Operator Instructions] Your first question comes from the line of Yun Kim from Janney Capital Market.
Yun S. Kim - Janney Montgomery Scott LLC, Research Division: So I know that the WMS products are still your core products, but it seems like you are gaining traction with some other newer solutions that's hit -- targeted at the omni-marketing areas, such as the Order Lifecycle Management and Store Activation product. Can you just talk about how much of those products are driving your business today? And are they included in your 3 7-figure deals you closed in the quarter?
Eddie Capel: Yes. So let's see. A couple of questions in there from a percentage perspective. About 35% of our revenue was non-WMS and about a half of that was Order Lifecycle Management and Store Commerce Activation. So pretty pleased, as you say, with the progress there. There were components of Order Lifecycle Management in one of the 3 big deals that we closed in the quarter, yes.
Yun S. Kim - Janney Montgomery Scott LLC, Research Division: So would you say that the Order Lifecycle Management is more like a mid-sized deal product, per se, not necessarily driving a 7-figure deals per se?
Eddie Capel: That's how it's -- that's certainly how it's come down this quarter, Yun. But it is a very valuable solution with -- that can really drive some significant deals. Of course, it's a great differentiator for us as well. But as we indicated, half of the non-WMS license revenue in the quarter is pretty substantial, and we're, again, very pleased with its progress.
Yun S. Kim - Janney Montgomery Scott LLC, Research Division: And then quickly, on the professional services. Looks like the sequential ramp in the quarter was a little bit less than I expected or more modest, but the deferred revenue was up sequentially a lot in the quarter versus in the past. Were there some implementation that didn't ramp up as expected? In terms of the deferred revenue increase, what are some of the drivers of the increase there or strong sequential increase besides the obvious implementation backlog?
Dennis B. Story: Yes. Hey, Yun . The -- in general, services came in -- one, we had a record performance in our services revenue. It came in line with our expectation. If you recall, back on the Q4 call, we expected about 7% top line growth in total revenue for Q1 in terms of guidance. So services revenue was quite nice. We've got a nice backlog there and nice activity. In terms of the maintenance increase, about 40% of our customer base anniversaries in Q1. We had -- so we're billing quite a bit at the end of the year for Q1 maintenance, and we just had a record overall collection quarter, so we had a very nice ramp on the deferred maintenance -- or deferred revenue, which was driven by maintenance collections.
Yun S. Kim - Janney Montgomery Scott LLC, Research Division: Got it, got it. Great. And then just lastly, it's been a long time since you have done any sizable acquisition or any acquisition for that matter. Can you give us any update on your acquisition strategy?
Eddie Capel: Really, no change in the acquisition strategy, Yun. We would -- we're certainly always looking for complementary acquisitions. As I think you know, our acquisition strategy is to fill any potential white space and tangential space that we might have in our footprint. We're, frankly, the converse of that, we're not really very interested in buying more of what we already have from a product footprint perspective, number one. And number two, we look for solutions and solution sets that have a complementary technology strategy to ours as well. So we certainly are on the lookout at all times for good acquisition targets, but by the same token, we will not do acquisitions for acquisitions' sake and just merely to drive top line revenue.
Operator: Your next question comes from line of Mark Schappel from Benchmark.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Eddie, last quarter, I believe you noted that there were a handful of large deals that were pushed off later in the year. Did you get a chance to close any of those deals in the quarter?
Eddie Capel: We did, Mark. A couple of those ones that had moved out a little bit of Q4 were fortunately the ones that closed for us in -- here in Q1. Now as is generally the case, guess what? A couple of deals that, frankly, we had hoped might close in Q1 pushed out on us a little bit later in the year. It sort of seems to be these longer sales cycles, and a little bit of deferment here and there is certainly what we're seeing, but yes, we were able to secure a couple of those deals.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Okay. And then last quarter, I believe the company hired -- actually, all of the last year for that matter, the company hired pretty aggressively in the professional services group. And I was wondering if you can just review what your headcount expectations are for that group for the remainder of the year.
Dennis B. Story: Mark, I'll take that. Yes, as we mentioned at the end of last year coming into 2013, the last 2 years we've been hiring very aggressively with 90-plus percent of that in our services organization, and that was really to get our margins normalized so we can focus on customer satisfaction, continuing to build our domain expertise in our services franchise without burning out our folks and continuing to deliver quality services. Exiting 2012, going into 2013, we feel like we've gotten into a normalized balance. Right now, we're targeting 75 to 100 additional hires in the services, and we'll just calibrate that as we go along in the year based on demand and how the global macro impacts the business overall.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Okay. And then one last question. Eddie, I was wondering if you can just go into a little more detail on what you're seeing with respect to your international operations. I believe Europe and Asia was down about close to 8% this quarter year-over-year.
Dennis B. Story: Yes.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Maybe just go into a little bit more detail on what you're seeing there.
Eddie Capel: Yes, certainly. So firstly, from an EMEA perspective, frankly, we had a very tough comp from a license revenue perspective in Q1. They had a very successful Q1 in 2012. So when we look at the sort of the normalized business for this year, we actually were pretty pleased with the performance. Traditionally, our largest -- or excuse me, our second-largest market on the planet over the -- over history has been the U.K. And I do have to say things are pretty tight there, all right? The things are -- the buying cycles are certainly much, much longer. The economy is probably more challenged there than in any other of the European countries in which we operate. But that said, we are starting to see some twinkles of light at the end of the tunnel in the U.K., and that part of that, likely, is from pent-up demand. We've seen a substantial lack of spending there for the last couple 3 years so I think we're seeing a little bit of pent-up demand come in to the pipeline there. But we are certainly optimistic about the opportunities there in Europe. It has been suppressed. In Asia Pacific, pretty nice quarter. Pretty nice quarter this -- from a license revenue in Q1 here. Pipelines are substantial for us in APAC, and we expect them to perform in line with our expectations for 2013. So nothing particularly out of the ordinary, Mark, and probably no surprise to anybody to hear that our second -- historically second-largest market continues to be somewhat depressed.
Operator: Your next question comes from the line of Eric Lemus from Raymond James.
Eric Lemus: My first question pertains to the competition in the market right now. There has been some changes recently. Have there -- have you guys noticed anything changing for you guys as far as your win rates or expectations in the future for your win rates because of the changes within competition and particularly with RedPrairie?
Eddie Capel: Yes. So obviously, those -- we've seen a couple of our competitors come together, and frankly, over the last decade or so, the landscape compressed. In terms of the win rate, we're still seeing a very, very strong win rate. As we mentioned, we -- for the deals that we compete in, we win about 75% of those deals, which are -- we're very pleased with. Always striving for betterment, but we are very pleased with 75%. In terms of have we seen anything particularly within it and particularly different in terms of market dynamics, competitive dynamics and so forth, I would say the answer to that is no. Those win rates, those strong win rates are reasonably consistent for us and have been reasonably consistent over the last couple 3 years, and as of certainly Q1, we haven't seen any particularly different competitive dynamics.
Eric Lemus: Okay, great. And then I guess my last question on your non-WMS business. It's been about 35% and then that's good, but do you guys think that's going to be a long-term rate that you expect to continue at WMS being about 65% of revenue? Or how do we think about the long term via the split of business between WMS and WMS -- or non-WMS?
Eddie Capel: Yes, good question. Well, we have a long heritage, obviously, in that WMS space. And we've been fortunate to build a quite substantial WMS customer base over the last 23 years. So when those companies look to expand their operations, distribution operations and so forth, we're fortunate enough that they generally turn to us for more WMS software. So given that length of heritage, I think it's likely to see -- you're likely to see still strong contribution from our WMS systems for the foreseeable future. Now that said, our newer solutions, I've mentioned a couple of times here, we're very pleased with, particularly Order Lifecycle Management, particularly our Store Commerce Activation over the last couple of quarters. Those 2 solutions actually are clearly not the largest but the fastest-growing components of our business. And given the innovations and changes going on in the retail markets globally, we see that growth continuing. So certainly, you can -- you should expect to see that over the long term be a larger part of our business, and you should also expect us to continue to invest in those solutions quite heavily for the foreseeable future.
Dennis B. Story: So Eric, let me piggyback on that as well. From a new to existing customer, we've -- our target has always been, in a fairly robust demand environment, to be 50-50. We think that's the optimal target. In the macro environment that we're in these days, that can fluctuate. We still like the 35% ratio. And keep in mind in 2011, in a tough macro we were at 50-50. So we're going to continue to penetrate our existing install base. In addition to that, there continues to be, on the WMS side, there continues to be a sizable legacy homegrown market out there, replacement market opportunity as well. So we think there's plenty of growth runway there for not only existing clients, but new clients.
Operator: There are no further questions at this time.
Eddie Capel: Okay. Well, thank you, Kyle, for administering the call, and thank you, everybody, for joining us this afternoon. We look forward to seeing you in right around 90 days from now. Thank you.